Operator: Good morning, and welcome to the Enzo Biochem Inc. First Quarter 2014 Operating Results Conference Call. I will now read the company's Safe Harbor statement. Except for historical information, the matters discussed in this news release may be considered forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended. Such statements include declarations regarding the intent, belief or current expectations of the company and its management, including those related to cash flow, gross margin, revenues and expenses, are dependent on a number of factors outside of the company -- outside of the control of the company, including, inter alia, the markets for the company's products and services, costs of goods and services, other expenses, government regulations, litigation and general business conditions. See Risk Factors and the company's Form 10-K for the fiscal year ended July 31, 2013. Investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve a number of risks and uncertainties that could cause actual results to differ materially. The company disclaims any obligations to update any forward-looking statement as a result of developments occurring after the date of this press release. During this conference call, the company may refer to EBITDA, a non-GAAP measure. EBITDA is not and should not be considered an alternative to net loss, loss from operations or any other measure for determining operating performance. The company has provided a reconciliation of the difference to GAAP on its website, www.enzo.com, and in the press release issued last night. Our speaker today is Barry Weiner, President. [Operator Instructions] I would now like to turn the floor over to your host. Mr. Weiner, the floor is yours.
Barry W. Weiner: Good morning, and thank you for joining us. With me this morning are several members of our senior management team: Mr. Andrew Whiteley, Mr. Drew Crescenzo and Mr. David Goldberg. Our press release regarding the fiscal first quarter operating results was distributed last night and has been uploaded to our website as well. Now that we have embarked on a new fiscal year, it seems appropriate to review where we are and where, as a company, Enzo is headed. I would like to share with you some thoughts on the general macro environmental factors that have been impacting our industry as a backdrop for the review of our financial results. We have spoken frequently about the issues impacting the environment concerning health care delivery and reimbursement. These are, to put simply, the challenges that we, in this industry, must face to shape our business approaches in a new structure that will generate more efficient execution of medical delivery in a cost structure that can be sustainable to deliver appropriate returns. Specifically, the move towards individualized care will rely on a greater use and reliance of molecular testing. This is where diagnostics and treatment will interconnect to a degree, and it has not really been previously realized. With it, the role of diagnostics and the Clinical Laboratory will increase dramatically as new assays and laboratory evaluations take on an even more significant part in not only determining illnesses, but also in participating in the treatment protocol and evaluating outcomes. We are faced with a new economic environment regarding health care. More people are being brought in under the health care umbrella, which will create greater demand. And at the same time, there is an intensive and relentless drive to reduce costs, which is reflected in lower reimbursement rates. Rising costs that inevitably are associated with the new and more important diagnostics are in conflict with the dominant trend to try to contain expenses in the field. Our results over the past few years reflect the investment we have been making to capitalize on the emerging changes we see in this market and provide solutions of more economical testing capabilities to the industry. Historically, Enzo has a proven track record of developing and providing novel approaches for difficult technological issues. Going back to our original disruptive invention of our novel approach to label, detect and visualize a gene in the early 1980s, which broke open the field of genomics as we know it today, we provided a low-cost, safer, more stable approach to the industry than that required of the use of isotopes in conducting what was then the early stages of genetic research. This was followed up by the invention of proprietary new platforms used by industry to serve as the basis for some of the largest, most important diagnostic testing currently offered. Today, we are capitalizing on our special inventiveness to introduce systems and products that will meet these newly arising special needs within our industry in a cost-efficient manner that can, again, both change and contribute to the new health care paradigm. While we are aggressively developing and adapting to these needs, we are also focused on achieving more satisfactory returns on our ongoing manufacturing and diagnostic activities. In the past quarters, we spoke about our transformative activities, which involved taking a hard look at Life Sciences, at a time when the market among academic and government laboratories were being increasingly constrained by reduced funding. We embarked on a program to move to more clinically driven products, to consolidate facilities, to streamline our distribution internationally and emphasize sales of higher-margin products and services. We have made substantial progress here. But at the same time, we have been investing to become an increasingly integrated bioscience company by engaging our life science research capabilities with the practical availability of our significant Clinical Laboratory that, due to its licensing, has a reach in the majority of the United States. Our integrated research product platform capabilities, coupled with our deep regional service penetration, is gaining wider recognition as we develop new technologies, which are built upon our very extensive patent estate and successfully attract partners throughout the diagnostic world to utilize our unique bifurcated channel capability to reach medical markets globally through Life Sciences, as well as provide services to medical practitioners and laboratories regionally. With that as a backdrop, I'd like to turn to a brief discussion of our operational results for the quarter. We have been refashioning Enzo to heighten its efficiency and install not only new scientific but information technology capabilities. It has been a costly undertaking but a necessary one, in which the bulk of the investment has been expended over the last 2 years. Despite these investments, we are making steady, sequential progress, both operationally and strategically. As we detailed in yesterday's announcement, our operational highlights for the first fiscal quarter included the following. Revenues on a sequential quarter-to-quarter basis advanced about $900,000. They were slightly reduced year-over-year, most notably due to weakness at Life Sciences for the reasons I just mentioned and, of course, lowered reimbursement at the Clinical Laboratory. Gross margins were also uniformly higher sequentially. On a consolidated basis, they rose to $10.6 million from $9.4 million. At Clinical Labs, the margins were $5.2 million versus the July quarter's $4.2 million, while Life Science products were virtually unchanged. But on a combined basis, including royalties, they advanced to $5.4 million from $5.2 million. At Life Sciences, operationally, we continue to see the benefits of the ongoing cost and expense reductions we have been implementing over the past few years. For fiscal 2013, we were able to reduce costs in areas such as finance, IT and operations by more than $5 million while maintaining our sales and marketing expenses proportionately. We also recently completed a consolidation of our European operations and expect this to have a positive impact beginning in the second quarter. Similarly, as a percentage of sales, we saw gross profit ahead sequentially 300 basis points to 44%. Clinical Lab margins advanced to 35% from 30%, and at Life Sciences, it was 50% versus 49% on a products-only basis. Again, 59% to 56% when including royalties. Legal expenses upticked significantly as we were highly active preparing for trials now scheduled for the first quarter of 2014. Provisions for uncollectible accounts also declined slightly as we continued to monitor and improve our billing and collection procedures. The net loss was sharply down both sequentially, where it was reduced over $300,000, and year-over-year, where it was reduced approximately by $1 million. Our EBITDA loss was also sharply lower, going from a negative $2.4 million 3 months earlier to $1.6 million. Increased accounts receivables of $2.3 million due to new tests and timing of service volume at the Clinical Lab, in conjunction with approximately $1.4 million of legal fees, largely accounted for the cash utilization this past quarter of slightly more than $3 million. Nonetheless, we retained at quarter's end a comfortable working capital position, including cash and cash equivalents, at approximately $7.4 million. In addition to drive both our operational businesses forward, we also continued to invest significant resources in protecting and monetizing our extensive intellectual property estate. Our platforms have served as a key driver in opening up modern-day molecular diagnostics that have benefited health care and scientific exploration. As such, the potential returns from the use of Enzo technologies throughout the life sciences industry could exponentially drive values for our company, supporting the initiatives to continue to invest in them. Our IP assets have generated significant value for us over the years, generating hundreds of millions of dollars of revenue. This was most recently exemplified by a federal jury finding that Life Technologies infringed our patents and awarded us over $48 million in direct infringement penalties. Last quarter, the judge in this case formally upheld the jury verdict and has now cleared the way for us to recover prejudgment interest in this case, which could add additional millions to the judgment. With respect to the actions in our New York cases, these actions are proceeding, and the first trial date has been set for the first calendar quarter of 2014. These cases in New York involve such companies as PerkinElmer, Hoffmann-La Roche and Affymetrix. And they deal not only with our patent issues but also with matters of breach of contract. Our other cases in the Delaware court against multiple parties are now moving into the discovery phase, with trial dates expected within the next 18 months or so. I'd like to summarize some of the partnerships Enzo has entered into over the past couple of months, which, once again, show the benefits of the integrated structure of having both the Life Sciences and Clinical Labs as part as a -- as a part of a cohesive corporate entity. This past quarter, we entered into partnerships which characterize the uniqueness and strength of our integrated business structure, which is able to move from core diagnostic discovery to product development to service provision. Our capabilities as a channeling company into the life sciences, clinical lab, pharma and service sectors gives us the unique ability to introduce new products, technologies and diagnostics efficiently and comprehensively. Our services channel to medical practitioners in the Northeast region, it is one of the largest and most valuable capabilities in our laboratory and a service provision that could be expanded nationally. As an example, in October, we announced a partnership with Sequenom, in which our 2 companies are collaborating to market, distribute and process MaterniT21. This is a noninvasive prenatal assay that, from a simple blood draw, can determine the relative amount of material of several chromosomes that are linked to some of the most common fetal abnormalities, such as trisomy 21, a condition related to Down syndrome. Our strong position serving physician clients in the women's health market in the most geographically desirable region in the country, that is, our Northeast region, was a key factor here. By adding this assay to our extensive test menu in and around the field of women's health, and this menu also includes products such as HPV genotyping, our E-tect assay for the measurement of E6, E7 overexpression that may be related to the integration of human papillomavirus into a host genome, as well as a number of comprehensive prenatal diagnostic panel, now provides Enzo with one of the most comprehensive sets of diagnostic offerings in the OB/GYN arena to the physicians in our service area. Also, in October, we entered into a collaborative agreement with DiaSorin, whereby our Clinical Laboratory will now be able to provide state-of-the-art diagnostics to our clientele for such key metabolites as Vitamin D in serum aldosterone, as well as several key infectious diseases, such as a bacterium that is the causative agent of Lyme disease. In addition, we have been contracted to assist other laboratories in validating new DiaSorin assays and completed our first project earlier this month. Earlier this morning, we announced a partnership with Flagship Biosciences of Boulder, Colorado, in which our 2 organizations will work together to offer comprehensive immunohistochemistry- or IHC-based solutions to pharmaceutical companies that are utilizing tissue-based analysis for the development of potential companion diagnostics. This collaboration will capitalize on Enzo's long history of immunopathology products and services and offer it to a much broader market. Enzo Life Sciences rolled out a major enhancement to its IHC product line last quarter, and Enzo Clinical Labs upgraded its immunopathology-based service capability during 2013. With the increased scrutiny placed in this field by new reimbursement guidelines due to commence in January, this venture will be well timed. Turning to another topic. Last month, we announced the publication of what may be a very key study in the prestigious peer-reviewed journal, Modern Pathology, in which our scientists working with researchers from Cornell and Ohio State were able to demonstrate a strong association between idiopathic pulmonary fibrosis or IPF, a fatal lung disease, with the presence of a particular herpesvirus, known typically historically to be native to squirrel monkeys. Pulmonary fibrosis is estimated to affect about 1 million Americans today, and about 20% of these cases are classified as IPF. Such a discovery of linking an infectious organism to this condition may allow our translational diagnostics team to develop a tissue-based and, perhaps downstream, a blood-based screening test that could lead to earlier detection of IPF, which, in turn, could lead to the ability to develop courses of treatment that could reduce the mortality of this disease. We look forward to reporting further developments of this potentially very exciting discovery. Looking at the past year, the major research and development focus at Enzo has targeted the introduction of an innovative new diagnostic approach, which we believe could address the growing challenge of providing cost-efficient, comprehensive molecular testing for clinical laboratories experiencing severe margin pressure due to the reimbursement environment. This new business opportunity is targeting to deliver low-cost molecular testing capability to the broad clinical laboratory marketplace in an easy and efficient approach. The economic pressure of reduced reimbursement, coupled with an increased demand for basic molecular outcomes for their patients, is creating a tension within the clinical laboratory community. The broadening of our translational diagnostics group and the increased cooperation between our Labs and Life Sciences on initiatives in and around multiple products is giving us a capability to facilitate the development of these new products and technologies and build them into a very exciting business opportunity. As most of you know, today's health care environment demands not only greater efficiency and reduced costs but also a new array of diagnostic tools as it increasingly shifts its attention to prevention and personalized medicine. Advances in genetic analysis and therapies with a greater, more personal specificity are becoming the norm, and their increasing success is evident in the rising age and well-being of our population. Enzo has developed a number of key technologies, underpinned by our patent estate that have far-reaching uses, not only in molecular diagnostics but in areas such as veterinary medicine, bioprocessing, food safety and biodefense. In order to focus our activity on key market segments, we are now developing strategic approaches to address these business opportunities. These will be supported by the infrastructure that Enzo has built over the years, including such key elements as global sales, distribution, the ability to develop and market in-house developed assays, manufacturing experience across a wide range of product types, access to key opinion leaders and clinical specimens and regulatory expertise, to name a few. We are utilizing this infrastructure as an asset in the support of a key technology, AmpiProbe, and are focusing our efforts on specific markets now. We are extremely excited about this prospect for AmpiProbe, our proprietary nucleic acid amplification and detection platform. Our technology is a new product that could allow more efficient delivery of gene-based diagnostic testing. It has been designed to allow multiple testing from a single specimen that can materially alter the price structure for doing these types of tests, a concept perfectly in line with where health care reimbursement is moving today. We are working to reduce the price of performing such tests to below the current cost of purchasing the reagents alone, potentially allowing a number of small to medium-sized labs, whether hospital-based or independent, to be able to participate in the rapidly expanding molecular diagnostics marketplace in an acceptable operating margin. We believe this product opportunity is timely and necessary for labs to survive in this difficult environment. Product panels are now in various stages of development. In conclusion, we anticipate events over the course of 2014 that could potentially help to create substantial value. These include possible resolutions surrounding the extensive number of IP-related legal actions and the introduction of new diagnostic tests and systems. We continue to look for the most effective, least dilutive way to monetize many of the transformational technologies we have developed. As such, we are exploring joint venture spinoffs or forms of partnerships as a way to help advance technology and benefit our shareholders. What we hope is evident is that our strategy to both continue and enhance our business and assure greater recognition for Enzo, its many assets and our determination to achieve full value for the company is visible. We are moving forward on a number of fronts at the moment and are acting on plans to help us to reach these goals. I would like, at this point, to welcome any questions from our listeners.
Operator: [Operator Instructions] Your first question comes from the line of Jack Wallace of Sidoti.
Jack Wallace - Sidoti & Company, LLC: Can you just talk maybe a little bit about some of the timing associated with some of the impacts coming from your recently announced partnerships, as well as when some of the AmpiProbe panels may hit the market?
Barry W. Weiner: Certainly. We have begun to offer a variety of new diagnostic tests at the Clinical Laboratory, which today are generating volume in return for us. As a matter of fact, some of the increase in the accounts receivable in the past quarter I spoke to, which was resulted in our cash utilization, was due to an offset of timing based on the introduction of a number of new molecular tests for which the billing cycle has not caught up with the performance of the tests themselves. These tests include not only the Sequenom test but a number of tests involving prenatal genetic evaluations, as well as a number of other tests that can afford, we think, some material returns to the laboratory. In terms of the timing for the introduction of our new diagnostic systems, we have been aggressively working over the last year in our AmpiProbe system to bring forth, the first being a women's health panel, which we believe will be a very well-received product line. This particular panel was determined as a result of our structure being very directed to the women's health market at the Clinical Laboratory. Over the year, we have been developing specific probes. We've been formatting. We are preparing for submissions for LDT approval. And so there is a process, and we hope, during the next 12 months, to start to see some of these products start to flow out into the marketplace. So I think this next year will be a very interesting one. We have a lot of new technological developments at the Clinical Laboratory, which are being embodied in new types of tests, which are high-margin. Our sales force is extremely excited to be able to provide some of these novel options and alternatives to their service provision group. And at the same time, we see the beginning of the execution of this new system, which we think will be a low-cost molecular testing approach, getting into the market to be able to assist laboratories to improve their margins in the provision of molecular testing.
Jack Wallace - Sidoti & Company, LLC: That's helpful. And also, if I may add -- ask here is, are you going to see the revenue benefits first hit in the Lab? Or are these going to be on LDT sales to the Life Sciences group?
Barry W. Weiner: The first hits will be at the laboratory. We are -- what we are doing is using our own systems to improve our own margins internally. We are developing LDTs that will be processed through the Clinical Laboratory. And that is actually part of the really interesting value of our integrated structure is that we can take these systems and tests that have been developed at Life Sciences and run them through our translational group into the Clinical Laboratory, helping us, number one, to reduce our own cost structure, improve our margins, validate and develop the data for LDT approval to a broader marketplace and ultimately develop the database that will move these tests to CE Mark and FDA approval.
Jack Wallace - Sidoti & Company, LLC: Yes. And if we could also talk maybe a little bit about what kind of cost-cutting realization you have left. You mentioned the consolidated operations in the E.U. How much more costs can you take out of the system?
Barry W. Weiner: We look at costs every day. This is a part of this environment in which we operate. We attempt to be as efficient as we can. As I mentioned, we took out of our cost structure a little over $5 million in 2013. In the first quarter of the year, we implemented processes, which we believe will take another close to $1 million out of our cost structure, which will start to hit us in the next quarter or so. So it's an ongoing process, but we do see close to another $1 million coming out.
Jack Wallace - Sidoti & Company, LLC: Great. And then last here and then I'll hop back in the queue. Do we have a timeline or an update on when you might hear back from the judge in regards to the additional damages from the Life Technology payments?
Barry W. Weiner: We are awaiting that decision. It has been a very long time in coming, as we all are aware. There's really very little control. It will emerge when it emerges, but it is long overdue. That is really all I can say.
Operator: Your next question comes from the line of Paul Nouri of Noble Equity Funds.
Paul Nouri - Noble Equity Funds: Obviously, we've seen a couple of warnings out of Bio-Reference and Labcorp. Can you talk about whether those are unique to them kind of in regards to what their expectations were and what you see going forward for your own line?
David C. Goldberg: Paul, it's David Goldberg. Yes, so I have seen those warnings. And we are all experiencing, as I'm sure you know since you follow the industry, cuts really across the board in reimbursement, not only from Medicare but, as well, some of the commercial payors. And these have been fairly well documented. The -- what we have tried to do at -- and so, obviously, from a routine testing standpoint, we're all facing that. What we've been doing over the past couple of quarters and hopefully moving forward, is shifting our emphasis to more and more of the molecular and esoteric testing. And that hopefully will result in higher-value tests that come in, producing higher margins. So I think that's the way that the laboratories will grow. And dovetailing onto it, Barry said before, the other piece of this is being able to produce more and more unique diagnostics with your own developmental capabilities. And what sets Enzo Biochem apart from other regional laboratories is the fact that we have the Enzo Life Sciences group literally on the same campus with us. And that allows us to look at a number of different projects that can reduce our operating costs, reduce and improve our margins as we move towards these more esoteric tests. So we're all certainly seeing the reimbursements being cut, and the way -- and that's how we're dealing with it.
Barry W. Weiner: This is Barry, Paul. I think this -- your question very appropriately dovetails into the future of the clinical diagnostics business. As we look to the reimbursement trends, and we all have to anticipate that reimbursement will be coming down, not going up in this industry, we recognize, more importantly than ever, the need to be able to provide tools to this industry so that the industry can execute its business model and, at the same time, be able to survive and have margins that will be sufficient for their shareholders and owners. We believe that the system that we are working on and have been diligently processing may be an answer for that particular problem in the molecular testing area. And that is why it is so exciting. We believe we can provide a solution that will allow laboratories to provide advanced molecular testing at a significant reduction to the conventional approach being utilized today. It's a system that will be transparent to the current -- using utilization out there today. And we believe it is an extremely important asset for Enzo and one that could be transformative in terms of changing the strategic direction of our Life Sciences focus to more of a diagnostic focus and, at the same time, addressing these very, very critical needs of margin improvement for the Clinical Lab world.
Paul Nouri - Noble Equity Funds: So I guess, yes, kind of looking at the AmpiProbe asset, I guess it's first, you're developing it, and LDT makes sense. I assume that's the primary asset that you're thinking about spinning off or doing a joint venture with because in order to bring it to the market and bring it to FDA, it's going to require a lot more money. Or am I in the wrong direction?
Barry W. Weiner: No, you're not in the wrong direction. But the AmpiProbe technology is a broad-based technology. As I mentioned in my comments, it has applicability not only in human diagnostics. It has very strong applicability in the veterinary aspects of diagnostics and bioprocessing. It is actually particularly interesting in the bioprocessing field because of its unique sensitivity. It is very exquisitely sensitive to picking up as little as one particle in a specimen. And because of that, for biological warfare issues, for certain types of infections where you don't have margin of multiplicity of disease state, this particular assay is very, very elegant. So to your question at point, there are many approaches in applications for the core technology. Human diagnostic is one, and within human diagnostic, we even have breakdowns by segment. We spoke of our focus being women's health as the initial platform. There are platforms that can be envisioned for GI, for upper respiratory, to give you an example. And these are all very unique products. We also spoke -- I spoke earlier about the work we did in the area of IPF. We are working to develop a diagnostic for IPF right now. When you consider the uniqueness and the special nature of that test and the informatics that it can provide, and you couple that within an upper respiratory panel that will include other upper respiratory analytes utilizing the AmpiProbe system, you can envision a more comprehensive diagnostic tool at a much lower cost basis for providers. So the answer to your question is yes, we're looking at multiple optionality, whether it's with strategic partners as well as other forms of business opportunities, to be able to exploit these. It is our goal to capitalize on this asset in a timely fashion. We think -- we feel that it's very appropriate for where the market is today, and we feel the technology base is very, very strong.
Paul Nouri - Noble Equity Funds: Okay. And then hopping over to the Sequenom relationship, can you talk a bit about, I guess, specifically, what markets you're working on them with? And then also, I assume you have the exclusive lab for selling it, but do they -- are they riding along with you kind of to market the test? Or do they go see doctors separately?
David C. Goldberg: Paul, it's David Goldberg again. The deal we have with Sequenom is actually quite unique. It's both a marketing and -- it's marketing and distribution deal with Sequenom. We are not the exclusive provider of Sequenom services, but we are the only laboratory that they are actually doing sort of active marketing with. And what they are doing is they are utilizing our very strong penetration in the New York Metropolitan area, really the whole area of New Jersey, suburban Philly, New York, Long Island, New York City, Long Island and up into Rockland and Westchester Counties. And they are working with our team, with our sales and marketing team to call on both Enzo clients as well as clients that aren't with Enzo. So it's really a -- it's a win-win situation. As they have gone out to market separately, they have their own sales force, we provide the ability for distribution, for processing. We have over 30 patient service centers for those physicians that wish to just send their patients directly to one of our centers. They're all equipped to process those specimens. There's a little bit of unique handling that goes along with them. So really, it's a deal where we're both working and dovetailing on each other's relationships. So it is unique in that sense. But again, there are other -- it is not an exclusive deal in the sense that there are other NIPT tests that we can provide to our physicians if they want as well. So we're not totally locked into them.
Operator: [Operator Instructions] Your next question comes from the line of Raj Maheshwari of Charlestown Capital.
Raj Maheshwari: Yes. I had a question, and perhaps this was discussed at some point in the past, but I cannot seem to find any kind of record about it. What is the status of the ColonSentry test that you had launched a few years ago?
Barry W. Weiner: Can you repeat that, Raj?
Raj Maheshwari: Yes. What is the status of the ColonSentry test you had launched a few years ago?
Barry W. Weiner: Well, it's available still. We're looking into the reimbursement issues that are associated with it. The ColonSentry test was classified as an MAAA code test in -- earlier this year, which has made the reimbursement difficult. We have worked with the team at GeneNews to try and improve the reimbursement. But right now, we're really focusing our efforts much more onto the women's health area, and you can see the results sequentially have been positive in that way.
Raj Maheshwari: So basically, should I just eliminate any kind of ColonSentry revenues for the next 20 -- 14 -- call it, 12 to 24 months?
Barry W. Weiner: I don't think they'll be material.
Raj Maheshwari: And is your plan to continue to devote marketing resources and dollars to it? Or your plan just to kind of lay low and let it just die [indiscernible]?
Barry W. Weiner: Yes, Raj, we will -- we're not going to dedicate a huge amount of marketing resources now, but certainly, if the reimbursement environment gets better, we've proven that we can be successful in launching this and other products. And we're just going to see how reimbursement goes. We're not sure what will happen in 2014 with the MAAA. There's been no definitive commentary yet, but we will continue to monitor the reimbursement environment going forward, and we'll see.
Raj Maheshwari: Just my one final question. I'll end on [indiscernible]. Do you have an idea of how much money you think you've spent on it already? Is there a ballpark number you can share with us?
Barry W. Weiner: No.
Operator: There appear to be no further questions at this time. Mr. Weiner, are there any additional or closing remarks?
Barry W. Weiner: Well, thank you for participating with us this morning. We look forward to the next quarter to be able to report back to you. We anticipate a very interesting quarter as so many events I spoke to about this morning will start to materialize. Have a good holiday. Thank you.
Operator: A replay of this broadcast will be available until Thursday, December 26, at 12:00 midnight. You may access this replay by dialing 1 (800) 585-8367. The PIN number is 22433054. This replay is also available over the Internet at www.enzo.com. This concludes today's teleconference. You may disconnect your lines at this time, and have a wonderful day.